Operator: Welcome to the Third Quarter 2014 Financial Results Conference Call. (Operator Instructions). I would now like to turn the conference over to Ms. Ali Engel. Please go ahead.
Ali Engel: Thank you Cynthia. Good morning everyone, welcome to A.H. Belo Corporation's third quarter 2014 conference call. Jim Moroney, our Chief Executive Officer will lead today’s call. I will provide a brief look at our third quarter results leaving plenty of time for Q&A. Dan Blizzard, Senior Vice President; and Grant Moise, Senior Vice President, Business Development and Niche Products are also available for Q&A. Yesterday evening we issued a press release announcing third quarter results. We have posted this release on our website under the Investor Relations section. Unless otherwise specified, comparisons used on today's call measure third quarter 2014 performance from continuing operations, against third quarter 2013 performance from continuing operations. In conjunction with the sale of our newspaper operations in both Providence, Rhode Island and Riverside, California. The Providence Journal and The Press-Enterprise newspaper operations are reported as discontinued operations in the company's financial statements. Accordingly, the results from continuing operations consist primarily of The Dallas Morning News Incorporated. Our discussion today will include forward-looking statements. Forward-looking statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those statements. Any additional information about these factors is detailed in the company's press releases and publicly available filings with the SEC. Finally, today's discussion will include non-GAAP financial measures. We believe that non-GAAP financial measures provide useful, supplemental information to assist investors in determining performance comparisons to our peers. Reconciliations to the most directly comparable financial measures presented in accordance with GAAP are provided in our press release and on our website under the Investor Relations section. Now, I will turn you all over to Jim. Jim?
Jim Moroney: Thank you Ali and good morning everyone. A.H. Belo Corporation announced third quarter net earnings of $0.10 per share from continuing operations, an increase of $0.08 per share over the third quarter of 2013. Bottom line improvements in the third quarter underscore the success of our continued efforts to contain expenses across all parts of the company and dispose of assets not core to our Dallas based strategy. Adjusted EBITDA or earnings before interest taxes depreciation and amortization from continuing operations with net investment related gains excluded was $4.2 million in this third quarter. Total revenue in the third quarter of 2014 decreased 2.3%. Declines in print advertising revenue were offset by increases in commercial printing and digital revenue. Digital revenue which comprised 22% of advertising and marketing services revenue grew 9.6% over the prior year quarter. We’re pleased with the continued growth in digital revenue which was particularly attributable to marketing services growth associated with Speakeasy. In September we completed the sale of the newspaper operations of the Providence Journal and related property Providence Rhode Island to new media entertainment group. Cash proceeds of $48 million were received in September and we expect to finalize the settlement of the working capital adjustment in the fourth quarter. After closing cost and estimated selling and exit cost we recorded a gain of $17.1 million in the third quarter of this year. Also in the third quarter of this year, the company sold it's last remaining real estate and Riverside, California comprised of land and a building that formerly served as a commercial printing operation. The company received net sales proceeds of $1.6 million generating a gain of $300,000. The company also sold 97 acres on undeveloped land in Southern Dallas. Net sale proceeds of $1.8 million were received generating a gain of $600,000. These transactions along with the close of the sale of our interest in classified ventures in October are key components in our Dallas based strategy. The cash proceeds generated from these divestures will allow the company to continue it's pursuit of opportunities to diversify and grow revenues and EBITDA and reduce our reliance on core print advertising revenues which remain challenged. The Board and management continue to focus on capital allocation including potential investments and acquisitions in the advertising of marketing services arena specifically companies with established financial performance and strong management teams. The company's acquisitions and investment efforts are focused on businesses with products and services that complement the existing advertising and marketing services currently offered. The company remains committed to returning capital to shareholder primarily through dividends. We paid a quarterly dividend of $0.08 per share in the third quarter and the company declared our fourth quarter dividend of $0.08 to be paid before the end of the year. Ali will now provide more detail around our third quarter financial results. Ali?
Ali Engel: Thank you, Jim. A.H. Belo Corporation announced third quarter net earnings of $0.10 per share from continuing operations compared to $0.02 per share in the third quarter of 2013. Third quarter 2014 net income from continuing and discontinued operations of $18.4 million includes the $17.1 million gain related to the sale of the Providence Journal Newspaper operations and $3.5 million of income for an economic parity payment in connection with the dissolution of the partnership which held the company's interest in classified ventures. As Jim mentioned total revenue in the third quarter of 2014 decreased 2.3% from the prior year period to $65.9 million. Revenue from advertising and marketing services including print and digital revenues decreased 8.6%. Digital Revenue increased 9.6% over the prior year quarter primarily due to continued growth in marketing services revenue associated with Speakeasy. Increases in digital revenue were offset by declines in display, preprint and classified advertising revenues of 19%, 8% and 8% respectively. Circulation revenue declined 2.6% over the prior year period primarily due to lower volumes and home delivery and single copy. Printing and distribution revenue increased 46.9% in the third quarter due primarily due to the impact of the contract to print the Fort Worth Star-Telegram which commenced in the first quarter and additional printing of local community newspaper in Dallas. Total consolidated operating expense decreased 3.3% in the third quarter to $65.4 million as employee compensation and benefits, news print and appreciation expenses all declined. In the third quarter of 2014, the company made required contributions on $5.8 million to its pension plans. No further pension contributions are required in 2014. As of September 30th, we had $108.1 million of cash and cash equivalents and no debt. Now Cynthia we’re ready for questions.
Operator: (Operator Instructions). We will go to the line of Richard Diamond with Strait Lane Capital. Your line is open.
Richard Diamond: I want to start by complementing A.H's management team. When you combined quality of company leadership, integrity and cash on the balance sheet there are few more attractive companies in my portfolio. Here is my question, now that you’ve been cross selling approximately two years, can you talk about lessons learned and various successes that you can apply going forward? Thank you.
Jim Moroney: Let me talk about that just for a minute, our strategy going forward continues to be built on doing an increasing amount of cross channel selling among the different channels of advertising and marketing that we own or have access to. I think the best example I can use is Speakeasy, and the lessons we have learned is this one, in the beginning we’ve a great opportunity to take our customer base and introduce them to a new channel of marketing like Speakeasy and have great success with it because of the relationships we have built with them when they have a need like they did for content market. As time goes on however we start working our way through those accounts of ours and then the say second year less of the accounts that are new to the company like Speakeasy are coming from us as current customers of ours and we’re getting more new customers from outside our customer base. I think the way this works and it's a nice sort of virtuous cycle if you will. We start off by building credibility with all of these customers that were previously customers of ours and other channels of marketing and as we build that base it did attracts and assures companies that we weren't necessarily doing business with that this is a good company, a company that has customers that give those new customer some assurance that things must be going right. We think we can repeat this same sort of formula as we bring on new channels of marketing using our base to get started, to sort of generate a lot of new sales and then that tends to attract other new customers a little bit like come on in the water, it's fine. So those are the most important lessons we learned, I don’t know Grant if there is anything that you want to add to that at all?
Grant Moise: No I think it's a great example of I think adding to our credibility in these businesses has been very important with the legacy business we have and it's -- we have been very pleased to watch the success that we have had specifically as Jim saying was Speakeasy as well as 508 Digital.
Operator: Thank you. (Operator Instructions). Next we will go to the line of Chris Mooney with Esposito. Your line is open.
Chris Mooney: Any thoughts on the guidance for this year now that we have had both all the dispositions take place on EBITDA? It looks like you’ve what a 10.7 million or so, so far for this year?
Ali Engel: Yes Chris, we decided not to give any further guidance because of the revenue challenges in the third quarter and kind of not sure how that was going to pertain to the fourth quarter, so we have kind of put the brakes on that and if we obviously decide to change that we will update everyone through our press release at some point.
Chris Mooney: And when do you think you will know since you didn’t say anything about in the release on the tax implications?
Ali Engel: We think we will know at the end of November. We have got a couple of things we’re working through that, will give us more clarity on that. So I had hoped to be able to give that number today but we’re not there yet. So for a couple of different reasons and so I think potentially after our December Board meeting we might be able to give you more guidance on that.
Chris Mooney: Okay, Jim, thoughts on the, I guess this is Wonderful Media where you’re taken to temporary impairments? And wasn’t that a $5 million investment originally?
Ali Engel: Yes, Chris, I'm going to let Grant talk about it because he represents us on the Board but I will just do a little bit of -- by way of backdrop for anyone else on the call. Obviously one of the areas that’s still despite the third quarter which was a little bit of an anomaly but the pre-print business for newspaper has tend to wild decline being a very low-single digit number and that’s being our experience but yes that we all believe that somewhere in time these pre-prints are going to become more digital than they will be actual printed material and the industry got together and is working on finding a solution and invested in with several media companies, newspaper media companies in Wonderful Media. So let me let Grant pick it up from there.
Grant Moise: Wonderful in the most recent impairments, you know is a member of the Board of Wonderful for me are really more tied to the a piece of the assets which were purchased the former (indiscernible) company which is really in the way that print advertisements are converted into to make them basically digital to put them into a digital format. The company and I'm a big supporter of what we have done has moved more into a mobile strategy and a different way of acquiring digital assets that can be put into the marketplace and unfortunately that has caused some short term impairments because of the conversion technology that was bought along with (indiscernible) it's just become a little less -- it's become less important to that core because of the mode of conversion. It's very much moved into a mobile friendly mobile shopping marketplace from which there are multiple ways now in which we’re accessing those assets. So it's really in terms of the way that the assets were gathered which related to the impairment, however the business most recently had some nice momentum behind it with national advertisers and then this coming on-board and we’re seeing that the fourth importer will be very important obviously for the holiday shopping season where there is a great deal of sales effort being put against the new strategy. However just -- the impairment was more so associated with the historic (indiscernible) assets that were bought in the way that as were converted more than I would say that is anything in terms of financial performance of the company in recent months.
Chris Mooney: I'm a subscriber to Home Snaps site and get an ongoing series of emails from them which actually are pretty well-formatted; you’re alone just under I think 20% of it. Any thoughts on how they are doing?
Ali Engel: So I think Chris, they are doing well. They have a lot on their plate right now so trying to ramp up and really prove their monetization side of that business. I think they have done a great job on the technology side. They have got a lot of plans for the next six months to a year to ramp up that business. Again it's a lot like Wonderful and that it's in a very early stage with a good technology that now needs the monetization and the sales efforts behind it. So we’re still enthusiastic about that, we funded a little bit more to that investment this year, small amount and so we remain that does remain on our high profile list in terms of I think long term opportunity for I guess realization of that investment but they have got a ways to go. One of the things, I will just note to you and anyone else on the call is, we have the closing dinner for apartments this summer, what we were talking a lot about the history of CV and I mean we had started that business well over 15 years ago. So although things are moving a lot faster today in technology than I think they were when Classified Ventures started. We need to give these new businesses time to take prove their concepts and work and it's not going to happen overnight.
Chris Mooney: Two other areas of historical interest, real estate still held for sale. Can you kind of give a ball park of what you think based -- that would be were?
Dan Blizzard: So we have got five properties in Dallas that could be considered for monetization, one is our former South Plant facility, Southern Dallas that could deliver a value range. Net proceeds, north of $7 million. We have got four properties in Downtown Dallas that range in value from $11 million to $16 million - pardon me a long spreadsheet [ph] that could range from $13 million to $14 million. The market in Downtown Dallas is on fire as you know from a commercial real estate perspective, we’re ideally located. There is no need for us to be monetizing those assets at this time. We don’t need the cash, we generate an enough parking revenue on those lots to cover their expenses. We could monetize them if the time came that we needed to. And then we have four assets in Providence, Rhode Island that we’re -- on the market for sale right now that have a value range from $11 million to call it $16 million, depending on the type of buyer that would come along.
Chris Mooney: And nobody knocking on your doors asking you about corporate headquarters?
Dan Blizzard: Corporate headquarters being, anyone interested in buying the Dallas Morning News building?
Chris Mooney: Yes, sir and the land.
Dan Blizzard: Not in my lifetime.
Jim Moroney: Chris, there is always a lot of talk going on. As you probably well know, around Downtown Dallas and there is talk about a high speed rail and there is talk about a baseball stadium move and from time to time that the footprint of those discussions winds up putting a shadow over where we’re and we’re sitting back, we’re not in any kind of need to move and we’re not necessarily wanting to move to but we will always entertain discussions because if it's financially better for the company then that’s a decision we could make at the time, but right now we don’t have anything active going on.
Chris Mooney: I would have been surprised if you did. Just for fun, I know that we hear about this the fourth quarter but any thoughts on the pension plan?
Ali Engel: No, I mean I think it's going to be a tough year for the plan in terms of that I think we’re going to go backwards in our unfunded status because of interest rates which have just not gone our way this year, Chris, unfortunately. But I don’t think that really changes anything because we know it's a long term interest rate play really to a medium term I guess interest rate play to get the plan where we wanted to be. We’re doing lots of things to keep derisking it and moving forward with it but nothing significant other than just unfortunately a rate problem.
Operator: Thank you. And at this time I'm showing no further questions in queue. Please continue.
Ali Engel: Okay. I think we’re done. Thank you everybody. We will take to you all next quarter.
Operator: Thank you. (Operator Instructions). That does conclude your conference call for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.